Operator: Good afternoon, ladies and gentlemen, and welcome to the presentation of BNP Paribas Second Quarter 2018 Results. For your information, this conference call is being recorded. Supporting slides are available on BNP Paribas' IR website, invest.bnpparibas.com. [Operator Instructions] I would like now to have the call over to Lars Machenil, group Chief Financial Officer. Please go ahead, sir.
Lars Machenil: Thank you very much. Good afternoon, fine ladies and gentlemen, and welcome to the BNP Paribas Second Quarter 2018 Results Presentation. I hope you've all got a copy of the presentation slides or the press release in front of you. As usual, I'll take you through the first 2 chapters before handing it back to you for the usual Q&A session. So looking at our key messages, which you can see on Slide 3, let me start by saying that BNP Paribas delivered solid results in the second quarter. Business activity continued to progress well in the context of economic growth in Europe across Europe with a good increase of outstanding loans, up 3.7%. If you now look at revenues of the operating divisions, they were up 1%, with strong growth in International Financial Services, essentially stable revenues at Domestic Markets in the context of low interest rates, down in CIB on the back of negative ForEx effect and the less favorable context for FICC activities in Europe compared to the second quarter a year ago. Costs of the operating divisions were 2.8% higher on the back of the continued development of the specialized businesses, but they were down in the retail networks as well as in CIB. Turning to the cost of risk, at group level, which was significantly lower making a 14.4% reduction and standing at 29 basis points in terms of customer loans. All in all, the group's net result clocked in at a solid EUR 2.4 billion, stable compared to the same quarter last year. And this is despite a negative ForEx effect, which I remind you at the current levels would not be there in the second half of 2018. And it also, this result of EUR 2.4 billion also equates to return on tangible equity of 11.2% for the first part of the year. Beyond the second quarter results, I'd like to mention that as you've probably all seen, we completed at the beginning of the week the sale of an additional stake in First Hawaiian Bank which reduced our interest to about 33% and at the same time, we also relinquished effective control by reducing our representation on FHB's board. This transaction has generated a capital gain in the region of EUR 300 million to be booked in the third quarter, of course, and will have a positive impact of at least 10 basis points on the group common equity Tier 1 ratio, again, in the third quarter. If with this, you can advance to Slide 5 where you can see the exceptional elements of the quarter, which had a negative impact to the tune of EUR 191 million net of tax, which is a tad more than in the corresponding period of last year. If we now swipe to Slide 6, you can see the performance of the group and of the operating divisions in the second quarter. As you can see, the net income is basically in line with last year. Overall in the first half, the group delivered an annualized return on equity of 9.6% or 11.2%, as mentioned, in terms of return on tangible equity. Now zooming in on the revenues of the operating divisions by turning to Slide #7. You can see that as I said, they progressed by 1%, reflecting an unfavorable ForEx effect. They were a tad down at Domestic Markets due to the still low interest rate environment, which was partly offset by good business development, in particular, in the specialized businesses. The revenues were up significantly at International Financial Services, so plus 8.7%, driven by the development of these businesses. And they were down at CIB 6.8% due to the lackluster market context for FICC in Europe compared to the second quarter of 2017. However, net of the ForEx effect and the capital gain realized in the second quarter of 2017 in Corporate Banking, they were just 1.6% lower. If you could now flick to Slide 8, you'll see, as I mentioned, cost of our operating divisions were up 2.8%. If we look at each of our divisions, first, Domestic Markets, costs were up in the specialized businesses on the back of continued business development, but down by 0.5% on average in our retail networks. IFS costs evolution reflected business growth, while CIB costs marked a decrease benefiting from the cost-saving measures we've implemented. Still on cost, if you go to the next slide, which is 9, you'll see we're progressing well with the implementation of our program of new customer experience, digital transformation and related savings across the group. By the end of June, we've generated EUR 858 million of cumulative cost savings, and in the second quarter, they amounted to an additional EUR 149 million. Savings were fairly evenly split among those 3 operating divisions with a slight bias towards CIB. I remind you that we're targeting EUR 1.1 billion of cumulative cost savings by the end of this year. Talking about transformation costs, they stood close to EUR 500 million in the first semester, bearing in mind our expectations of EUR 1.1 billion for the full year of transformation costs, that is.  So as you can see, the implementation of the 2020 transformation plan is progressing as foreseen. If we now shift to cost of risk, I would kindly ask you to flick to the 3 specific slides on the topic, which start at Slide 10, and where you see the significant decrease in the group's cost of risk this quarter. If you now take the businesses one at a time, in Corporate Banking, you see that the provisions were more than offset by write-backs this quarter, but to a lesser extent than in Q2 of 2017 when write-backs had been very substantial. If we now turn to Domestic Markets on the next page, we see that the cost of risk was very low in French retail, nil in Belgian retail and continued to decrease at BNL in Italy. If you now go to Slide 12 in the other retail businesses, you'll see that Personal Finance saw low cost of risk this quarter. Euro-Med's cost of risk marked a decrease, while BancWest was very low. Looking now to our financial structure which you can see on Slide 13, you can see that our common equity Tier 1 stands at 11.5%. The positive contribution derived from the net income generated after allowing for a 50% dividend payout, this increase was more than offset by the increasing -- of increase in risk-weighted assets and by our operational risk-weighted assets being brought at the level of the standard method. This explains the slight reduction you see in our common equity Tier 1 this quarter which however given the additional sale of a stake in First Hawaiian Bank that I mentioned earlier, is again up 10 basis points in the third quarter. Back to the second quarter, our Basel III leverage ratio was at 4%, and our liquidity coverage ratio stood at 111%. And to express this in euros and cents, you see that the group's immediately available liquidity reserve totaled a massive EUR 308 billion and is at the end of June. So all in all, a very solid balance sheet. If with this we look at Slide 14 where you see the net book value per share, which stood at EUR 72.4 at the end of June following of course the dividend payment of EUR 3.02 on the 1st of June. Over the last decade, the net book value per share has been growing at a compounded annual growth rate of 5%, clearly illustrating BNP Paribas' continued value creation through the cycle. If with this I can ask you to peruse the next Slide 15 and 16 of this introductory part which illustrates our ambitious corporate, social, environmental policy, our commitment for sustainable finance with significant initiatives to promote ethical responsibility, social and environmental innovation, as well as low carbon economy. Lastly, on Slide 17, you'll find a slide summarizing the reinforcement of the group's internal control and compliance systems. With this, I would kindly ask you to advance to the results by division, and we start with Domestic Markets on Slide 19. And as you can see, Domestic Markets confirmed good business drive in the second quarter on the back of robust economic growth all across the eurozone. In particular, we continue to see good loan growth in retail networks as well as in the specialized businesses, this alongside an increase in deposits across all countries. In particular, Private Banking showed good net asset inflows in the quarter as well as Hello bank!, which attracted 75,000 new clients in the second quarter. Domestic Markets, as you know, is progressively developing new client experiences and pursuing a digital transformation. In particular, it is swiftly implementing new functionalities online such as accounts aggregation, electronic check deposit and digital invoice payments. Moreover to these digital aspects, we are also adapting the offer to different banking uses, for example, in France with Nickel, which has already opened at 950,000 accounts and LyfPay, universal mobile payment solution which has over 820,000 downloads to date. Besides, we're deploying robots to automate processes. 150 are already operational in our Domestic Markets and a further 120 will be added by year-end. At the same time, in our French Retail Banking, we're implementing the delayering of the regional management setup that will also be fully completed by year-end. If we now look in terms of P&L, the revenues were slightly down at EUR 3.9 billion. As mentioned, we saw good business drive in our Domestic Markets, but as expected, we continue to be impacted by the low-interest rate environment. Operating costs were somewhat higher with an increase in the specialized businesses on the back of their continued development, thus marked, as already mentioned, at 0.5% rate reduction on average in our retail networks. Given the reduction of cost of risk, especially at BNL, pretax income topped EUR 1.5 billion, marking a significant 7.6% increase compared to the second quarter of last year. And so this is a dynamic -- I mean, where -- which is positive and in line with the plan. Looking at each country and business, I can mention in particular for Domestic Markets, if we take French retail, it showed good business drive and income growth on the back of good cost control and a lower cost of risk this quarter. In particular, renegotiations, and early payments reconfirm their sharp decrease since June 2017. Of course, this weighs on this quarter as we get less renegotiation and early repayment penalties, but means that revenues evolutions going forward should improve in particular in the second part of this year. When we go to Italy, BNL bc's gradual improvement in business activity continued with market share gains in the corporate sector. There was, of course, the impact of low rates on revenues, but thanks to the continued cost of risk reduction, BNL showed a sharp rise in income this quarter. When we turn to Belgian retail, it continued to show sustained business activity and marked income rise this quarter despite the impact of the low-rate environment. Finally, the specialized businesses continued to deliver strong growth. To wrap up, good income growth for our Domestic Markets on the back of the rise in business activity, and this despite the headwind of the low interest rate environment. If with this, we shift or we advance to Slide 25, where you see International Financial Services, which is a division and a strong engine of growth for BNP Paribas. In particular, loans progressed well at Personal Finance and in our International Retail Banking. Assets under management of our Insurance and savings business progressed by 2.7% year-on-year, and the operating division continued its active implementation of digital transformation as well as new technology across all the networks and the specialized businesses. This IFS division is actively implementing in digital transformation and new technologies and is across all the businesses. It has enhanced client experience with, for example, the rollout of electronic signature at Personal Finance, which represents 72% of contract in France, Italy and Spain, and the implementation of new online features at Wealth Management such as biometric identification. It also continues the rollout -- to roll out new technologies with already 75 robots used at Personal Finance. Now in terms of P&L, looking at the revenues, they reached EUR 4.3 billion, up 8.7% compared to the second quarter 2017 and actually 9.4% higher at constant scope and exchange rate as the division was affected by an unfavorable ForEx effect this quarter with a rise in all the businesses. Costs evolved at a lesser pace than revenues as a result of business development, leading to a pretax income of more than EUR 1.5 billion, up strongly 9%, reflecting the continued growth of this division. Zooming now into the different businesses one at a time, if you can go to Slide 27 on Personal Finance, which continued to show strong business drive in the second quarter. For example, outstanding loans were up 12% on a comparable basis thanks to high demand across Europe and the positive effect of new partnerships. The business also continued to implement successfully the integration of the GM Europe financing business acquired last year, and it continued to implement a digital transformation with the international rollout of its CRM system called Visir. A further illustration of the digital development at Personal Finance is that already more than 22 million monthly statements are issued in digital format, also representing 72% of all statements. Now in terms of results, revenues progressed by more than 13% or 9.3% on a comparable basis, in connection with higher volumes and the positioning on better risk products. Costs increased by 16% or 8.3% on a comparable basis, as a result of this good business development. Lastly, cost of risk was at a low level this quarter and pretax income reached EUR 450 million, slightly up on last year. To recap, in a favorable context across all Europe, Personal Finance continued to show strong business drive and good operating trends. If with this you can go to Europe-Med on Slide 28, where businesses activity continued to progress well with good loan growth and deposits increasing in all regions. Our digital banks in the region are continuing to win new clients with, for example, CEPTETEB in Turkey at 560,000 clients and BGZ Optima in Poland at more than 200,000. We also continue to strengthen our digital offering, for example, in Poland where we recently launched Gomobile, which is an app to manage accounts via smartphone and which is proving to be a success with over 140 downloads in 6 months. Now talking euros and cents, so looking at the P&L at constant scope and exchange rates, revenues were up 16% on the back of higher volumes and margins alongside a good level of commissions. Costs increased as a result of this good business development but at a much lesser pace than the revenues, generating a significantly positive jaws effect. Overall, given the lower cost of risk at this quarter, Europe-Med's pretax income surged 53% to stand at nearly EUR 200 million. Given the unfavorable ForEx effect I mentioned earlier, pretax income increased by 31.5% when we look at historical scope and exchange rates. If with this, we now leap over the ocean and go to the U.S. or you go to Slide 29, actually, where you see the results of BancWest, which confirmed good business drive in the second quarter. At constant scope and exchange rates, loans were up 3% and net of securitization that took place in the fourth quarter, while deposits increased by 5.5% compared to the same period a year ago. Private Banking assets under management progressed by 6% to clock in at USD 13.4 billion. In terms of cross-selling with other group businesses, the number of deals with CIB marked a significant increase. And moreover, we'll soon be launching a new car loan offer leveraging Personal Finance expertise in this domain. Still at constant scope and exchange rate, revenues were up 3.9% on the back of this volume growth. Costs were well under control, and BancWest generated a positive jaws effect in the quarter. On the whole, given a very low cost of risk, BancWest's pretax income increased by 22% on a comparable basis. Given, again, the unfavorable U.S. dollar-euro effect, pretax income was up 12% at historical scope and exchange rates. So in a nutshell, very good business drive and strong income growth for BancWest in the second quarter but an unfavorable ForEx effect. If with this you could kindly swipe to Slide 30 to end off International Financial Services with Insurance and savings business, which saw assets under management progress by 2.7% year-on-year to stand at EUR 1,060,000,000,000 at the end of June. In the first part of the year, we actually saw net inflows of EUR 13.4 billion, whereas the performance effect was negative. The ForEx effect for the first semester was marginally positive. On the bottom right of this slide, you can see the steady increase in our assets under management over the past 3.5 years with a EUR 166 billion increase, of which nearly 2/3 from net asset inflows. If we stay on the Insurance side of the business first, which is on Slide 31, it continued to show good business development, which from net asset inflows into unit-linked policies, which represent 2/3 of net inflows in the first half of the year. Also, the launch of our protection and casualty insurance offer in the French retail, which is a joint venture with Matmut, has got off at to a promising start with 30,000 contracts already sold in May and June. In terms of results, Insurance revenues were over 18% higher. Costs progressed at a lesser pace than revenues on the back of the continued development. And pretax income marked a 17% increase to stand at EUR 440 million in the second quarter. As you can see, good business growth and sharp rise in income for insurance this quarter. Now the last part of IFS, if you can move to Slide 32, which is Wealth and Asset Management, it also showed good development. It was awarded the prize of best European private bank at WealthBriefing Awards for the second year running. Asset Management continued to broaden an adaptive software and real estate confirmed strong business growth, in particularly, in advisory in Germany and France. Again, euros and cents, Wealth and Asset Management revenue showed a good overall performance with a 9.8% increase year-on-year. Costs increased on the back of the development of the businesses, and pretax income marked an 8.9% reduction but a 1.2% increase when you exclude nonrecurring items. Globally, good business development for Wealth and Asset Management in the second quarter. If with this, we could go to Slide 33, which is the slide on the third division, which is Corporate and Institutional Banking. Revenues stood at close to EUR 3 billion, down 6.8% compared to the second quarter last year. However, this reduction was limited to just 1.6% net of the above-mentioned unfavorable ForEx effect, mostly on the U.S. dollar, and of the capital gains booked in Corporate Banking in the second quarter of 2017. Looking at the costs, they were 0.9% lower thanks to the cost-efficiency measures that have already generated EUR 359 million of cumulative recurring cost savings since 2016. And this leveraging a digital transformation, CIB has already automated over 80 processes out of 200 identified and is pressing on with the implementation of 4 end-to-end projects on credit process, ForEx cash, client onboarding and fund administration. All in all, CIB generated just under EUR 1 billion of pretax income, down 26% to a very high comparison basis in the second quarter 2017 that had benefited from capital gains and significant provision write-backs. However, as you can see on the bottom right of the slide, pretax income marked a strong rebound compared to the previous quarters and was actually the second highest quarter bar Q2 2017 since the beginning of 2016. Taking the first half of the year, this translate in a more than respectable pretax return on notional equity of 17.7% for CIB. If we now zoom in on the 3 parts of our Corporate and Institutional Banking and to the other slides, 34 to 36, we can see that if we start on 34 with Global Markets, whose revenues were down 5% on the back of the lackluster context for FICC activity in the European market and is compared to the second quarter last year, and this effect was partly offset by good volumes in Equity and Prime Services. FICC revenues were actually down 17% compared to the second quarter 2017, as I said, which was characterized by good volumes. Client activity on rates remained weak in Europe, and the market context was lackluster for ForEx and credit. Nevertheless, the business confirmed strong positions in bond issuance in the first semester, where the bank ranked #1 for all bonds issues in euros and #8 for all international bonds. When we look at Equity revenues on the other hand, they showed strong growth of 12% on the back of higher client volumes in equity derivatives and the good development of Prime Services. If now we advance to Slide 35 where we have Corporate Banking revenues, which were down 13.7% but only 1.7% excluding the ForEx effect and the capital gains that I mentioned already on the second quarter of 2017. This quarter, Corporate Banking saw fewer significant transactions in Europe, in particular, as some IPOs were postponed but delivered good performances in the regions Americas and Asia Pacific. Transaction banking continued its good development in cash management and trade finance, and the business confirmed its #1 position for syndicated loans in the EMEA region. At constant scope and exchange rates, customer loans were up 4.6%, boding well going forward and rolling into the second half of the year. Finally, if you flick to Slide 36, Securities Services, the third part of our Corporate and Institutional Banking, had its revenues increased by 3.9% on the back of a good business drive and a positive effect of new mandates. Indeed, Securities Services announced this quarter a major agreement with DWS covering EUR 240 billion of assets in Germany, Luxembourg. On the digital front, the business has already automated 30 processes and with a further 44 that are being developed. So to wrap up, negative ForEx effect and less favorable market conditions in Europe for FICC businesses compared to the second quarter a year ago but strong equity, good security services and almost stable Corporate Banking with a rebound in terms of pretax income versus previous quarters. This concludes my introductory remarks for the group's second quarter 2018 results. As takeaway, I would like you to retain that the group delivered good business growth and higher revenues in the context of economic growth across Europe. We're continuing to actively roll out new customer experiences, and we're implementing digital transformation through the group. And in the second quarter, the group generated a solid net income of EUR 2.4 billion, which translates into return on tangible equity of 11.2%. Fine ladies and gentlemen, I thank you for your attention, and I'm ready to take your questions.
Operator: [Operator Instructions] The first question is from Karl Peace from Crédit Suisse.
Karl Peace: Can I ask a question about cost of risk and one on Insurance? So on the cost of risk, do you think we will stay at these sort of levels under IFRS 9 absent the divisions where you've actually got write-backs or do you think IFRS 9 has some inherent volatility and we could see some upward pressure in some quarters going forward? And then on the Insurance business, what was the level of the capital gain in the current quarter? I'm just trying to get an idea of where it might normalize to in the third quarter. And would you be able to disclose how much your policyholder surplus reserves are as a percentage of technical reserves and whether that's a sum that might need building?
Lars Machenil: Thank you for those questions. So first, when it comes to the cost of risk, so yes, intrinsically, the cost of risk came in low. Let's not forget that also in an environment of low rates, this is not totally abnormal. It's even a bit linked. The low interest rate gives some pressure on the top line but gives some fuel when it comes to the cost-of-risk line. When it comes to the impact of IFRS 9, intrinsically, yes, IFRS 9, which is forward-looking, includes when you have to calculate your cost of risk. It takes into account forward-looking scenarios. So for the moment, those forward-looking scenarios are not dramatically different than they were in the first quarter. Now it is true that at some point in time, they might evolve and that might lead to some additional volatility in the cost of risk. But let's not forget also that is normal. I mean, the cost of risk typically evolves somewhat over the cycle, and that will not be different under IFRS, except that the cycle will be a little bit different in the positioning of it. So that's basically all there is to say. So for the moment, no additional volatility due to IFRS 9. When it comes to your question on Insurance, you're absolutely right. I mean, we cast our Insurance figures in the accounts of a bank, which is not always very representative. So you're right, you have to look at the gross written premiums evolutions, which as you can see, they are up very well. And then the second thing is to be very fair. The accounts of the Insurance are typically to be seen on a yearly basis, where it basically also includes all the effects when it comes to the Insurance holding. Now you will understand that these things are a little bit also of a marketing expected and versus the other competitors. So I will not -- I'm not able to give you more details on this.
Operator: We now have a question from Mrs. Delphine Lee from JPMorgan.
Delphine Lee: I just have 2 questions if I may. So first of all, is it possible to get a bit of color or guidance around generally the top line trends in Belgium and BNL? The first half did highlight a bit of pressure on revenues with minus 3% in Italy and minus 0.6% in Belgium. So just wanted -- just curious a little bit about sort of the margin trends but also the fees issues that the was highlighted around retrocession fees? And at the second question is more on Global Markets and particularly fixed income. If you could comment a little bit about how we should see the first half performance, I mean, are you seeing anything that is changing or improving around the rate environment in Europe or anything you can comment on there will be very helpful.
Lars Machenil: Thank you, Delphine, for your questions. If we first take the retail question on the top line, if you look in Belgium and in Italy, so what we said in Belgium, as you know, we have been proceeding with a repricing of the liabilities, which we said at some point in time starts to become much more limited. And so we hinted that at some point in time, it could be that this would have -- would be weighing somewhat on the net interest income line, which is what we see. Nevertheless, as you know, we are also working on advanced services, so which has typically stimulating the fee and commission. So we've guided that, it is not impossible or unlikely that it would turn negative. And so that is basically what occurred in Belgium. When it comes to Italy, Italy, it's a bit the same thing. We said that we expect the top line in Italy to evolve better than what we saw last year and we basically stick to that. That's basically -- and there also the same thing, let's not forget in Italy, we are not the dominant player. Yes, we have like around 5% market share. We're focusing on the export-oriented larger corporates. We're also providing added value services to the individuals, which are generating fees and commissions. So that is basically how you should see the retail top line in those countries. When it comes to Global Markets, as indeed there is a different trend in Europe when it comes to FICC and equities. When it comes to FICC, let's not forget that a year ago, at the end of 2017, the demand of those kind of products were relatively limited all over the world. And then at some point in time, there was some clarification on this U.S. side of what was happening with the tapering and all the like, and it basically resulted in the fixed-income activity. That environment is not yet completely hitting on in Europe. So when I think that is a bit the lackluster environment that we talked about. So it is, of course, better than what we saw at the end of 2017. But it's still having some of that impact. So that would be my outlook on FICC, Delphine.
Operator: We now have a question from Tarik EI Mejjad from Merrill Lynch.
Tarik El Mejjad: I have a couple of questions as well. The first one is on FICC. I mean, I understand the lackluster environment in Europe. But when you look at the U.S. banks that reported all the positive now, I mean, they didn't really highlight any pressure or any weakness in Europe. And some of them even gave a sort of breakdown. So my question here is the competition from U.S. banks is too fierce or are you struggling with this to actually gain – continue to market share because you tend to be losing some. And also, I mean you always said your business is a lot of repeat business driven by your retail networks. So can you just maybe describe the competitive environment there? And the second question is on capital. I mean, I understand what you have done in terms of model changes and on op risk and moving into standardized approach. So should we expect this to happen every other quarter or quarter as your ongoing implementation of Basel IV? So is it fair to think that capital should be and stay around 11.5% to 12%, more actually 11.5% in the next 2, 3 years while you implement the new regulation?
Lars Machenil: Tarik, thank you for your question. On the first one, when you look at FICC, I mean, if we see all the market shares and those evolutions, we are doing very fine. So I think -- I mean, I cannot comment about the U.S. banks, but when you read what the U.S. banks are saying on their evolution, let's not forget that they are reporting in U.S. dollars. And so where I said that I report in euros and I had a negative effect impacting from the U.S. dollar, it is logical that the U.S. banks would have had a positive effect. So I think that is -- that would be my core on that read because on the market share and all the other elements, we're doing fine. And let's not forget also, we can see this when I said about the lackluster environment in Europe, we also clearly see that for our platform in the U.S., they had a very good performance. So that is how I synthesize this. When it comes to capital, and know the 11.5% is not something that you should say is here to say. Let's not forget that we mentioned as part of our plan that we will float First Hawaiian, right? And so you've seen that we basically done this at the beginning of the week, so which adds another 10 basis points. And moreover, if we will do at some point in time we know that in a rush would take the time, but once this will be totally done, that will further lift our common equity Tier 1. So that's basically what I have to say about it.
Tarik El Mejjad: Can I just follow up on the last one, please? I mean, I understand you have some disposals that could help your capital, but that would come to offset basically the Basel IV that at some point, you have to, I mean, migrate some of your RWAs or add more. So my question was more are you like working for the end of the time like until the directors goes into your -- I mean, local -- the regulation comes in European directive or are you intending to do it time to time implementation? So what's -- I mean, what triggered your model changes quarter basically on op risk?
Lars Machenil: Tarik, no worries on that. For the moment, as we said, we basically are in the current environment we set forth to reach 12%, and we will be basically do that and we will do that in 2019. So there is no issue on that. When it comes to the next wave of Basel finalization as Basel IV is called now, that is something which will be discussed by the European -- the next European Commission, which is something, I don't know, which will come 2022 or something like that, and that will be part of our next plan, not of this one. And when it comes to -- just to provide some color when it comes to this operational risk, this is not -- this is -- we have to back-check every year our models that are in advance and so forth. And of those, some of the operations on operational risk side required complementary analysis. That's basically why we took a prudent stance and put it at standard model. So there is nothing else to be said. So we go for the 12%.  That's basically it, will be the next year and that's it.
Operator: The following question is from Mrs. Flora Benhakoun from Deutsche Bank.
Flora Benhakoun: The first question I have is regarding the leverage. There has been talks at the European Parliament that they could consider calculating the leverage on a daily basis. So the question is how that could potentially change your ability to be active in the repo business. And the second question is actually coming back to capital where we haven't had any capital build-up organically for 2 quarters now. If I only look at the retained earnings versus organic [ ordinary ] growth. So the question is whether we should still expect, as you had before, something like 25 to 30 bps of organic capital generation per year.
Lars Machenil: Flora, thank you for your questions. First of all, let's not forget on leverage, for the moment, there is no rule which is applicable. Let's not forget that. Leverage in Europe is to be part of the next wave of rules, which is to come, which will probably come end of this year or the beginning of next year. So that's basically it. In the meantime, as you see, we are at the 5% leverage. We, at the meantime, are accumulating our capital and our position. So as I said for us, 4%, yes, this is not a concern. So that's basically it.  So by the time this will be binding, we will be ample even if they would change the calculation on an average daily or whatever it is. So that's basically it. Let's not forget that for us, the real metric which is the one that we find very representative in the business that we do in the common equity Tier 1, but we are structured in such a way that if we respect the 12% common equity Tier 1, we also respect all the other elements like leverage above what will be then the minimum. So that's basically on leverage. When it comes to capital, yes, allow me to remind you that at the beginning of the year, of course, we had the introduction of IFRS 9. We had the clarification on things like IPC, which basically lowered our common equity Tier 1. But as I said, for the rest, we have all the things which were in the wings as foreseen and so we will get to our 12%. There is no concern about that, and we will get there at the latest at the end of the next year. Now the one thing which is positive if you look at this quarter is, as we said, there is a pickup in our lending needs from our clients, in particularly, across Europe. As I said, there's more than 3% uptick in lending. And this also means that it [ has ] this uptick in RWA. And as I said, when it came to, for example, the activities in CIB, there has been origination going on. But the distribution is still ongoing. So actually, the fact that the risk-weighted assets picked a bit up towards -- in the second quarter is actually a good news and bodes well for the next periods to come. So that will be my answer, Flora.
Operator: We now have a question from Jean-Francois Neuez from Goldman Sachs.
Jean-Francois Neuez: So Jean-Francois from Goldman Sachs. My first question is on costs. You've talked a lot about the new initiative, digitization, new products, et cetera, across the presentation. I just wanted to do a little check on costs and see how confident you are in reaching your targets which have been laid out in the business plan. Because the point I'm trying to make here is just that there is the investment in your programs, which are progressing as planned. And then when we look into the various divisions, even those with very high revenue growth where we would expect at these levels of revenue growth to see more operating leverage, there is additional investment mentioned as the reason for the double-digit cost growth or close to 10% for some of them. And I just wanted to understand whether compared to where you thought you would be, where you are and whether there is enough in the planned budgeted for the initiatives you think you need? My second question is on capital versus volumes. Right now, for example, in a quarter like this one, your growth in risk-weighted asset does not allow you to form capital even if I take away the 10 bps of operational risk change. If you have to choose between building up towards 12% or taking the investments in the costs as well as the volume growth of building of the capital, which one would you have to choose? Would you feel that to reach 12%, you would have to maybe turn down some of the business which is currently coming in as we see every quarter?
Lars Machenil: Jean-Francois, thank you for your questions. When it comes to costs, yes, indeed, let me remind you that overall, there is a pickup in costs because we are investing in digitalizing and so forth. And also, of course, on the businesses, which are a bit under pressure on the top line, we are reducing the costs and then the ones, the specialized businesses which are growing, we are fueling that growth. Now let's be very fair. If you look at that growth, that growth is very strong. And so that means that if you do this growth, you have to accompany that in the appropriate weight of sales. So if you have in the specialized businesses where you basically do point of sales or where you have other ways of interacting with the customer, we really have to make sure that we follow that in the right way. And so that is why we have discussed pickup now to basically put in place those costs. So we're ramping up these things. And it's the same thing of ramping up what we are seeing in the digitalization, right. As we said, we are ramping up the savings which have come there. For example, next year we will have EUR 1.8 billion, EUR 1.8 billion of savings to be accompanied by this EUR 1 billion of investments. So that's basically the thing. Yes, we are investing in our transformation and we're also investing in the fast growth that we see in the specialized businesses. And so those costs for the moment outweigh a bit part of the growth, but they are putting in place a structure that will generate cost savings and revenues going forward. So that is on the costs and in particularly the driver on the specialized businesses. When it comes to capital versus volumes, I mean, we already said it and I'll say it again, we are there to accompany our businesses in their growth. As you can see it, there is strong growth across Europe and we are there to basically serve them and we are well-positioned just by executing the plan to reach a 12% common equity Tier 1. So that's basically what we will keep on doing.
Jean-Francois Neuez: So just to clarify, you can do both the capital build up and the volume you're seeing now and you think your end point in cost is no different to what you thought it could be 1.5 years ago? Is that correct?
Lars Machenil: Yes, sir.
Operator: The following question is from Jean-Pierre Lambert from KBW.
Jean-Pierre Lambert: Three questions, if possible. First one is if you could provide some more information or details about the optimization to the CIB financial resources, which had quite a material impact this quarter. Is that only the sale of portfolios, or is there any other action? A second question is the cost reduction in French retail network. You indicated that there's more regional management level to be removed by the end of the year. Is that impact included into the cost cutting relative to digitalization or is it some different elements? And the third question is, could you give an indication of how much the cost of compliance and control procedures account in your total cost base?
Lars Machenil: Jean-Pierre, just 2 questions. Where are you, as you said, and could you just repeat your third question, please?
Jean-Pierre Lambert: Yes, if you could give an indication of how much the cost of compliance and control procedure is as a percentage of costs roughly, and is that booked in the Corporate Centre or spread across divisions?
Lars Machenil: Okay, Jean-Pierre, when we look at your first question, on the CIB resources, and as we said, what we basically look at, we are fully focused on the creation of value. So that basically mean that if we have products which were originated before the changes in Basel regulation, which at that time were creating value but following the changes in rules would have a lower profitability. And those products, if there would be buyers which are not necessarily banks, so which are in a bit of a different situation compared to those, then that is basically what we're doing. So that is what we continue to do and we're basically almost at the end of that. When it comes to the cost reduction on France, which is part of -- or the basic -- the traditional business that we do in France just as we have it also in other businesses that we are doing. When it comes to your cost on compliance, our cost of compliance are, of course, in the business, yes. We don't have those costs separated. They're into the business and that's basically it, yes. So it's part of the total business.  It's part of doing business, it's in several lines. So it's not one specific costs. It's just the accompanying that we do in the business.
Operator: We now have a question from Lorraine Quoirez from UBS limited.
Lorraine Quoirez: Just one question on Turkey. Obviously, the situation is a bit concerning there. Inflation is high and the central bank doesn't seem to be doing much about it. Could you perhaps give us a little bit of an outlook on how we should think about the Turkish business going forward? And also, if you have exposure to non-Turkish lira-denominated loans in the region? The second thing is, it would be nice to have a little bit of comment on competitive pressure in the domestic retail markets, if possible.
Lars Machenil: Sure, Lorraine. Thank you for your questions. First, on Turkey, if we look in our activity, which you know, I mean, we have a relatively small market share in Turkey. We have very good management, and of course, we are very focused on the products and on the underwriting that we do. And what do we see? We see that as every time when there is the liabilities which are being repriced, we, of course, also work on the asset side. It always takes a bit of time. So that is why you see the evolution. Moreover, if you look at the cost of risk of our activities, it's basically stable year-on-year. So that's basically fine. So that's Turkey. It's, of course, I'm not saying it's not a point of attention. Of course, it's a point of attention. But as I said, we have very strong management on the floor, which are very closely watching the underwriting that we do and the evolutions and the repricing as they are ongoing. So that's Turkey. When we look at the competitive environment, yes, the competitive environment, it's a bit different of course, country-by-country. If you look, for example, in Italy, there is still banks which are positioning themselves and addressing their situation on their nonperforming loans and so forth, which is sometimes leading to a competitive environment where maybe the ROE is not as important as it is. So that is some competitive environment. And if that is blocking us from growing the lending business because we cannot necessarily do it at the profitability that we set forth, then so be it. If there were a bit of similar things in Belgium where you had a bank which was looking to be floated and which was having also a bit of a transition in some activities, so that's basically it. And then yes, that's in the retail the main things we would say. So Lorraine, that will be my answers.
Operator: The following question comes from Mr. Bruce Hamilton from Morgan Stanley.
Bruce Hamilton: Maybe if I could just come back on the domestic businesses, so firstly on France. In terms of the sort of NII and revenue outlook, it doesn't sound like you've changed your message, i.e. sort of an inflection towards the end of this year and then growth in top line beyond. I just wanted to make sure that, that was still correct given the flattening of curves and what that might mean for some of the reinvestments pressure in the book. And then secondly, in terms of competitive dynamics in French retail you're having good success with gross in Compte-Nickel as well as in Hello bank!  Are you seeing any change in the level of competition from new entrants? And in terms of all the growth coming and online clients, is there any sort of risks from cannibalization in terms of lower sort of revenue dynamics per client there versus your branch base and just whether there's a mismatch between the revenues from new clients and the costs coming out of the business?
Lars Machenil: Bruce, thank you for those questions. First of all, well, it's basically both on France, right. If you look on France, that inflection that we talked about it is indeed what we're still talking about. So that's the point what I said compared to the evolution of last year, which that transition came to an end, and therefore that inflection is still what we anticipate. When it comes to the competitors, it is true that what we see of those new digital kind of services also, it is important to have a wide range of services that are being offered, and that's an important one. And that's the relationship with a client, which is very important. Now at the same time, or as an illustration, if you look at Hello bank!, it is generating 2/3 of the clients are basically new clients. So not clients of the bank. So from that point of view, it's a different way of offering these kind of products, which we will continue to do. And so we're very pleased with the way we are able to meld together the pure banking skills that we have like for ages and the new digital kind of skills that we are develop ourselves or bring on board or get on board. So that would be my 2 answers, Bruce.
Operator: We now have a question from Mr. Alex Koagne from ODDO.
Alex Koagne: Alex from ODDO. A few questions from my side as well. The first question is on Global Markets. If we look to the revenue evolution since 2012, it is in the range of EUR 5.2 billion to EUR 5.7 billion, meaning that it is EUR 1.4 billion in average per quarter. You need EUR 1.8 billion to meet your target in term of revenue for 2020. It seems pretty difficult to see how you will deliver that target. So what are we missing over here in terms of business dynamic or in term of market share transforming into revenue growth? Second question is on the cost of risk at BNL. It seems that they have a kind of acceleration into the decrease of the cost of risk. Can you make any comment over here in term of reaching your target 2020? I mean, is there any risk to think that you can be below the 50 basis points you guide for? Second question has to do with the level of revenue in the Corporate Centre. There seems to be a bit high compared to your guidance. Any comment out there? And the last question is basically leading to the comment that I saw this morning on Reuters saying that you're expecting your specialized service to grow by 5% to 10% on H2 2018 versus H2 2017. Was that a true statement? If so, can you just give us a bit of color on what are the driver of this growth?
Lars Machenil: Alex, thank you for your questions. First, when it comes to Global Markets, the main thing is, as I said earlier, I mean we of course assume that there is a continuation in the business we can do, in the market share that we can grab and so forth. And so this is, as I said earlier, is really what is realizing for the moment. So that's fine. However, this is, of course, also on the back of what is happening in the market. So for the moment, what we do see in Europe is that the market demand is lower than what you might have seen in the past. So this is, as I said, where we'll have to see or just like in the U.S., this will come back over time. That's it. If not, we'll have to see how we adapt to that situation. So that is Global Markets. When it comes to BNL, yes, I mean, the cost of risk, as we always said, would taper off. Why? We have been getting out of the segments which were not necessarily naturally ours. And as I said, we've been refocusing on the larger corporates which are export-oriented. We're oriented also on the individuals on the ones with the more advanced services needs and so forth. And so that basically means that we always guided that the cost of risk of that legacy would taper off because that legacy would basically taper off. And we've guided towards the 50 basis point. And so that's basically where we see that we would be. So there is no change on that. And let's not forget also the cost of risk can evolve a bit on quarter-by-quarter. So we stick to overall trending towards 50 basis points in Italy. When we look at the Corporate Centre when it comes to the top line, so there is nothing particular to mention, right. I mean, in the second quarter, like this one, you had the dividends which are being paid. So that is a bit what is impacting, but there is nothing special to talk about. The other thing is on your fourth question, I think the guidance that have been given, it's an evolution of the second half, and it was basically high single-digit that was being mentioned. So Alex, that would be my answers.
Alex Koagne: Yes, sorry to come back on the -- if I may, a follow-up on the last answer.  Is that for international specialized service or is it only for like consumer finance?
Lars Machenil: Alex, it's on what we call the specialized businesses. So if we look at international finance, the specialized businesses are part of that, but there are also retail which are part of that.
Operator: We now have a question from Mr. Pierre Chedeville from CM-CIC.
Pierre Chedeville: Two questions from my part. The first one is regarding the CIB and more generally, your comments you made regarding cross-selling between BancWest and CIB. And I wanted to know if you could give us a little bit color regarding what type of operation do you mean by this cross-selling. Are you selling auto call, for instance, these types of products in the network of BancWest or is an IPO with customers of BancWest? If you could give us some example. And more generally, regarding the CIB, do you think that it could be an option for you or do you have room to do that too considering the fact that, as you said, the current environment in Europe is not very good. You could allocate more capital to your CIB activity in the U.S. and change a little bit your model there. That is my first question. My second question is regarding Compte-Nickel. I wanted to know if you have any view regarding the potential of cross-selling regarding Compte-Nickel because my view is that with EUR 20 fee per customer at the end of the day, even if you grab a lot of customers, at the end of the day, it's not a lot of net banking income. And so I guess that you wish to develop cross-selling.  And I would like to know if you have observed any positive things on that side.
Lars Machenil: Yes, Pierre, thank you for your questions. So indeed, when it comes to the U.S. with cross-selling CIB BancWest, you don't have to look at for something very particular. It's a bit the activities of what we do in Europe. In Europe, we're really strengthening when we have clients in individual sector, which are also corporate leaders or corporate captains, we're really trying to help them in their needs for that. So for example, syndicated loans, structured financing and so forth. And so that is a thing we need to do. And if you look at our BancWest activity, for example, the market share that we have on individuals is above the market share that we have when it comes to corporates. So first, we just want to make sure all that what we have, for example, in Europe is that when we have that same customer in our individual base, that we can really ramp up the corporate financing that he needs as well. So that is basically what we do. And when it comes to capital allocation, of course, let's not forget that in the U.S. when it comes to CIB, we want to basically help our customers. So we want to help European customers going into the U.S., U.S. customers coming into Europe or our BancWest customers that are having their needs. And so that evolution is basically what we have planned, and that is where we have the capital to support that. So that's that. When it comes to your question on Nickel, it is true that intrinsically, we always aim to do cross-servicing. And so that is why indeed, when it comes to Nickel, we are also experimenting with added value kind of services. And as you know, for Nickel, we basically figured out that, that would be things like Insurance, it would be consumer finance and so forth. And so that is why, for example, we have launched a thing called -- I know it's very spiritual, but it's called Nickel-Compte, which probably for you English-speaking doesn't mean anything, but in French it basically means something. So and there is already 25,000 cards Nickel-Compte that have been distributed. Let's not forget that our situation is with Nickel is that is this profitable, which is not always obvious when you look at other start-ups. But that's the case for us. So Pierre, that -- those will be my 2 answers.
Operator: The following question comes from Stefan Stalmann from Autonomous Research.
Stefan-Michael Stalmann: I would like to come back to markets and balance sheet developments around that, please. I appreciate that market opportunities in the European FICC are maybe not as good as in the U.S. right now.   But at the same time, you have actually quite massively built your trading balance sheet, your trading inventories year-to-date plus EUR 200 million roughly. Why is that given that you don't really see so great opportunities with clients? And then slightly related to that, you said that -- what you said before, that you're not too fast about leverage. Why have you actually engaged the ECB in this legal battle about the definition of leverage? What is there to win really given that it's not an important ratio for you and it's not a big impact on your leverage ratio anyhow?
Lars Machenil: Stefan, thank you for those questions. Yes, when it comes to, for example, the trading and the balance sheet, again, let us not forget that leverage intrinsically is not the ideal metric to manage a bank when you're focused on risk, because if you look at really the risk, you can see that those elements in your balance sheet are hedged on the other side of the balance sheet, and so therefore the overall risk is much lower than that. On top of that, the demand of these products to at year-end period is very low. I'm saying this a bit jokingly but in the last week of the year, basically institutional corporates, they all take the Christmas holidays, and so there is a lot less demand in those kind of products. So that is why it picks up in basically at the beginning of the year as they always do and it does pick up at the balance sheet. But intrinsically, really when you look at the risk, this is not really a necessary point. And so why do we pick a bit of a battle on the definition of this leverage ratio is that it is already a metric which, as I said, pushes a bit the envelope towards a non-risk kind of stance. And so if there are elements in there which is, for example, in France the Livret A that is not necessarily coherent. So we basically wanted to draw the attention to that and to make the metric more relevant on that point of view. So that is why we engaged a bit, as we are a bank pan-European, we want to step up and point to these things to iron out any fickle elements in the regulation. So that's basically it.
Operator: We now have a question from Kiri Vijayarajah from HSBC.
Kirishanthan Vijayarajah: I've got a couple of questions on the fee and commission side of the business. So firstly, on Italy and your mutual fund assets, the – you're showing them the nicely up year-on-year. But I wonder if you could comment on how flows were in the second quarter and into the summer was there any impact from the political uncertainty in Italy and how the retail investors feeling there in terms of risk appetite right now? And then just going back to the Belgium fee number, I wonder if you could quantify specifically the impact of the retro session fees and confirm whether that was a recurring ongoing item or is that was second quarter really just a blip?
Lars Machenil: Kiri, thank you for your questions. The first one is if you look at Italy, there basically has not really been an impact from the situation and the political environment. So from that point of view, the flow remains good, and that's basically it. And as you know, for us, that is an important part of the kind of customers that we serve, the ones that have those needs, and we saw them coming in for those. So that's fine. When we look at Belgium, yes, in Belgium, on the fees there are indeed several elements, right. There was a bit of a high a year ago then there is the overall evolution of the commissions. And then there is the fact that there is this other network that we use and that we shift a bit from the current network into that network, which basically moves costs into commissions. And that is a bit the retro sessions that we saw in the top line. As I said, I cannot really give you those numbers because it's a bit of, yes, competitive savvy kind of information. But intrinsically, this is a move where we basically bring the costs down and we take, of course, then up the retro session. So that is basically an ongoing process that we see in Belgium. That will be my answers, Kiri.
Operator: We now have a question from Maxence Le Gouvello from Jefferies.
Maxence Le Gouvello du Timat: Focusing on Italy, why the public -- the Personal Finance cost of risk is up by 50 bps on the quarter as you change your policy in light of the political events recently? The second, can you give us a wrap up of what is your funding position in Italy, taking all the business that you have over there, which have been retail with BNL, consumer credit and wholesale banking and can we have also the idea of the size of the TLTRO? And last question would be regarding the RWAs. Where have you allocated the additional operational risk that you have taken into account of your calculation for the core Tier 1 at the business level? Is it included or not? Because if I remember well, you calculated your capital at the beginning of the period.
Lars Machenil: Yes, Maxence, thank you for those questions. When you look, indeed, at Italy, the impact on the cost of risk of Personal Finance, it's not that material. If you look at overall the flow quarter-by-quarter, there is some fluctuations in that. That is a bit pushed a bit too more volatile, as I said, under IFRS 9 because if you see things happening like what you see in Italy, you can have a bit of a tilting towards more deteriorating scenario, which can accentuate a bit this volatility in the quarter. So that's basically what I would say. There is not much more to be mentioned. When we look at the funding, when we stay on Italy, when we look at the funding, so yes, there is like a total kind of funding that we have, which is around -- which was around EUR 10 billion, which we are basically tapering off we basically as in Italy, as the demand for the profitable loan growth is relatively slow, whereas the deposits are still picking up very well. This is basically something which is now down to around EUR 5 billion. So it's nothing material. When it comes to the steps that we took on the standard model on the operational risk, so yes, this is something where we basically apply to all of our businesses or we will apply to all of our businesses. So that's basically what we said. We didn't keep that central. We basically allocate that to the businesses. So we assumed in our calculation that it is applicable to all.
Maxence Le Gouvello du Timat: Okay. In the Q2 results, it's already in the business level or you're just on the group level?
Lars Machenil: No, no, it's basically what we talked in the calculation of the businesses that we already took it into the business.
Maxence Le Gouvello du Timat: Okay, so most of it should be into the investment bank and you're still down. So that means that your level of optimization of capital has been huge.
Lars Machenil: Maxence, if you look at the operational risk, the operational risk is something which is spread -- all of them. And so that means that, as I said, the evolution is basically linear to what it was everywhere. So it's basically something which is not only or not even at Corporate and Institutional Banking. And indeed, Corporate and Institutional Banking, let's not forget, they have been reducing by several billion the portfolios which were less yielding in the current environment.
Operator: And the last question comes from Anke Reingen from RBC.
Anke Reingen: Two  questions as well, first, coming back on the costs, please, can you just confirm that you reiterate the 63% cost/income ratio for 2020 as well? Because I understood that you confirm the cost base. But what's the binding constraints? If the revenues are lower, could the costs be lower than what you said at your investor day? And then secondly, sorry, coming back on the capital. So the growth in credit risk-weighted assets in Q2 by about 2%, I calculated it's all because of business growth. And I was wondering should we expect some impact, like on an ongoing basis or do you think they probably wouldn't see it in the numbers?
Lars Machenil: Thank you for your questions. Yes, we confirmed our outlook for 2020. So the cost income of 63%. When it comes to capital, yes, indeed as you mentioned, the capital RWE growth is on the back of the lending increase that we have performed. That's basically it. So the elements, for example, stream that has been done last year, didn't have a material impact. There is the TRIM to come. As you know, the TRIM intrinsically we are supportive of it because it's a way to validate the advancement rules that we in Europe are using. What will be the outcome of that when they look at credits, honestly, that I do not know. But as I said, for what we've seen so far, that's a positive evolution.
Operator: We have no further questions.
Lars Machenil: So ladies and gentlemen, I thank you very much for your attention. And if it's applicable, wishing you a very good August. Thank you.
Operator: Ladies and gentlemen, this concludes the call on BNP Paribas' second quarter 2018 results. Thank you for your participation. You may now disconnect.